Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:05 Good day, and welcome to Commvault Q3 Fiscal Year 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there'll be a question-and-answer session. [Operator Instructions]. As a reminder, this call is being recorded. 00:31 I'd now like to turn the call over to Michael Melnyk, Investor Relations. You may begin.
Michael Melnyk: 00:37 Good morning and welcome to our earnings conference call. I'm Michael Melnyk, and I'm joined by Sanjay Mirchandani, Commvault's CEO; and Brian Carolan, Commvault's CFO. 00:47 Statements made on today's call will include forward-looking statements about Commvault future expectations, plans, and prospects. All such forward-looking statements are subject to risks, uncertainties, and assumptions. Please refer to the cautionary language in today's earnings release and Commvault's most recent periodic reports filed with the SEC for a discussion of the risks and uncertainties that could cause the company's actual results to be materially different from those contemplated in these forward-looking statements. Commvault does not assume any obligation to update these statements. 01:19 During this call, Commvault's financial results are presented on a non-GAAP basis. A reconciliation between the non-GAAP and GAAP measures can be found on our website. 01:29 Thank you again for joining us. I'll now turn it over to Sanjay for his remarks. Sanjay?
Sanjay Mirchandani: 01:35 Thanks, Mike. Good morning, and thank you for joining us to discuss our fiscal third quarter results. Our team executed well in this breakout quarter and the headlines speak for themselves. Software and products revenue meaningfully outpaced the market growth rate, increasing 11% year-over-year to a record $99 million. We exceeded $200 million in quarterly total revenue for the first time in company history. And non-GAAP EBIT was a record $43 million. 02:05 While proud of these results, I'm even more excited about the quality of the metrics that underpin our financials and our accelerated journey to a cloud-first recurring revenue model. 81% of total revenue was recurring in nature, compared to 74% a year ago. Total ARR grew 11% year-over-year to $561 million. Subscription and SaaS ARR grew 45% year-over-year to $309 million and now represents 55% of total ARR. 02:38 We had the best quarter for new customer additions in years, including several Fortune 500 wins. We've moved nearly 2.5 exabytes of customer data to the cloud, representing approximately a five time growth in the past three years. And Metallic continue to set new financial and operating milestones. 03:00 We could not have achieved these milestones without the hard work and dedication of our employees worldwide. We also remain optimistic about Q4 and beyond for several reasons. First, we're winning and taking share. Our core software is performing well, with software and products revenue growing 13% when adjusted for pass through appliance revenue. 03:22 And in aligning with customers' consumption patterns, subscriptions represented a record 71% of software and products revenue. We're seeing broader product adoption with new and existing customers across every single product category and are setting all-time highs with HyperScale X. This is largely because we support the broadest workloads and provide the security, scalability and simplicity customers need to advance their cloud transformations. In most cases, we're displacing incumbents, often multiple legacy and upstart vendors to provide customers a single, future proof data management solution. I'll share a few examples shortly. 04:03 The second reason for our optimism is that Metallic, our hyper-growth data management as a service offering continues to gain momentum. As more applications are borne in or migrate to the cloud, it's clear that SaaS is the future of the industry and for that matter, the future of Commvault. Customers are demanding scalable, cost-efficient, enterprise-grade SaaS-based solutions and we couldn't be more pleased with the traction because the numbers are staggering. 04:30 We added over 400 new Metallic logos, 60% of which were net new to Commvault. Total customers increased approximately 40% quarter-over-quarter to nearly 1,500, and Metallic landed its first-ever seven-figure ACV deal. This is a major milestone for Metallic and for Commvault, as deals like this are driving ARR growth. Which is why we remain bullish about the trajectory of our Metallic business. We have a clear first-mover advantage and we will continue to invest to further Metallic's growth and solidify our differentiated leadership position. 05:05 This growth has compounded as customers increasingly embraced both, Commvault software and Metallic SaaS, which -- what we call the power of [AND] (ph). Over 40% of Q3 deals involved more than one product. Over 50% of Metallic customers are using another Commvault product, and approximately 30% of Metallic customers are using multiple Metallic offerings. 05:30 What better way to demonstrate this than with a global materials company that had an inefficient multi-vendor environment. This Fortune 500 company wanted a single layer of data protection, flexible reporting, and swift recoverability across its myriad of workloads, which is why they chose HyperScale X and Commvault Complete with ransomware protection and numerous Metallic offerings. We are the only company to provide this breadth of solutions, ease of use, and the future-proof architecture to meet their needs today and tomorrow. This is our competitive advantage. 06:06 Our third reason for optimism is that, we're also leveraging our partners and the MSP community to drive new growth opportunities. Our collaborative partner engagement model is helping us win more business globally. For example, working with one of the world's largest systems integrators, we closed a seven-figure transaction with a leading global auto manufacturer. They needed a scalable backup solution for their on-premise data centers with a broad list of workloads, certified object storage system for compliance, and ransomware resiliency. After evaluating numerous vendors, they switched on their legacy solution to HyperScale X with Commvault Complete data protection. Once again, we were the only company that could meet all these requirements with centralized workload management. 06:54 Another reason for our optimism is our ability to help customers with their most strategic and pressing business needs. For instance, the relentless rises of ransomware and other security threats are no longer just CIO or CISO concerns. They are CEO and Board level priorities. You see these threats have breached the traditional siloed worlds of data protection and security, adding even more complexity, cost, and risk. Rather than a multi-vendor patchwork of point solutions, security and IT professionals alike are increasingly looking for a unified architecture and approach to help protect, prevent, and recover from these and tomorrow's threat vectors. We do this today. 07:38 In Q3, our partners presented us with an opportunity with a Fortune 500 telecom company, resulting in a 7 figure deal. Commvault was the only vendor that could meet the company's ransomware, multi-cloud, automation and integration needs. The legacy and upstart competitors couldn't even meet the initial round of requirements. 07:59 Whilst these threats are not going away, which is why we also continue to innovate our leading edge ransomware offerings. In fact, we entered into an agreement to acquire an overseas technology company to further our innovation in this space. We believe this technology and talent will broaden Metallic's ransomware detection and prevention capabilities and help customers further reduce their ransomware risk. 08:23 Looking ahead, I believe we are uniquely positioned in a large and growing market. Our teams are executing well and the strength of our core software offerings is allowing us to invest and innovate for the future. Commvault continues to play a critical role in customers' IT transformation projects, which gives us confidence in the long-term opportunity for our business. 08:45 Now, I'll turn it over to Brian for a closer look at the financials. Brian?
Brian Carolan: 08:50 Thanks, Sanjay. And good morning, everyone. Hope you had a chance to review the results we released this morning. I will briefly recap and provide some additional color on the quarter. 08:59 In fiscal Q3 '22, we reported total revenue of $202 million, an increase of 8% year-over-year. Q3 marked the first time in company history that we exceeded $200 million in quarterly revenue, a milestone for Commvault. Software and products revenue increased 11% year-over-year to approximately $99 million. As a reminder, in FY ‘22, we've moved primarily to a software-only model. 09:31 In Q3, software-only growth, excluding appliance pass through revenue, was approximately 13% year-over-year. Revenue from software transactions over $100,000 increased 24% year-over-year and represented a record 76% of software revenue. The volume of these transactions grew 20% year-over-year and the average deal size increased 3% to approximately $332,000. 10:04 As Sanjay noted, we closed numerous 7-figure deals in the quarter. In Q3, we had the highest number of new customer additions in years across all products, driven by our Americas and EMEA regions. In addition to our new customer success, business from existing customers reached an all-time high during the quarter. Taken together, the pace of both new and existing business further validates the success of our emerging land and expand motion. 10:36 Let me now discuss our accelerating transition to a recurring revenue based model. Third quarter subscription software revenue increased 45% year-over-year to approximately $70 million. Subscription licenses represented 71% of total software revenue, an increase from 63% last quarter and 55% a year ago. We are clearly benefiting from the tailwinds of our subscription transition and our growing recurring revenue model. 11:09 Total annual recurring revenue, or ARR, increased 11% year-over-year to approximately $561 million. On a constant currency basis, ARR was up 13% year-over-year. ARR growth is being driven by new subscription customers and Metallic. 11:32 As Sanjay noted earlier, subscription and Metallic ARR grew 45% year-over-year to $309 million, and now represents 55% of total ARR, up from 51% last quarter and 46% a year ago. This is an important proof point in the transformation of our company. We believe ARR is a good measure of the underlying health of the business. It represents the strength of our land, expand and renewal motions and is a barometer of our potential for future growth. 12:09 Total recurring revenue, which includes subscription software, maintenance support services, and SaaS grew 17% year-over-year to $164 million. Recurring revenue represented 81% of total revenue in the quarter, an increase from 79% last quarter and 74% a year ago. 12:33 Now I'll discuss expenses and profitability. We reported fiscal third quarter gross margins of approximately 86%, an increase of 40 basis points year-over-year. The expansion of gross margin was the result of the decrease in pass-through hardware and royalties associated with the legacy version of our HyperScale products. These savings were partially offset by an increased mix of Metallic SaaS revenue, which carries a higher cost of sales. We expect Metallic gross margins to improve over time with increased economies of scale. 13:11 Total expenses, including both costs of sales and operating expenses increased approximately 6% year-over-year to $157 million. Expense growth was driven by increased third-party marketing spend, field compensation on record bookings, and strategic investments in Metallic. Non-GAAP EBIT was a record $43 million, and non-GAAP EBIT margins improved 150 basis points year-over-year to 21.3%. 13:45 Now I'll discuss cash flows and the balance sheet. For the quarter, we generated approximately $26 million of free cash flow. We ended the quarter with approximately $234 million in cash, of which over 70% sits overseas. As Sanjay mentioned, we announced a technology and talent-driven acquisition of an overseas firm to enhance our ransomware protection capabilities. The purchase price is approximately $17 million and will be funded entirely from our foreign cash balance. We expect the deal to close in fiscal Q4. 14:27 We currently have no debt on the balance sheet. During the quarter, we opened a new $100 million revolving credit facility to provide additional financial flexibility. In Q3, we repurchased approximately 1.3 million shares of our common stock for $85 million. Since our investor event in January 2021 through December 31, we repurchased approximately 4.6 million shares for $328 million, exceeding our initial guidance of $200 million, plus 75% of free cash flow. 15:06 Now I'll discuss our financial outlook for Q4 FY '22. We saw accelerating momentum throughout Q3. As Sanjay articulated, we believe that the industry and our business are healthy. At this point in the quarter, our pipeline is in good shape and it's always an area of focus for us. We are working diligently to further our market share gains and leadership position. Against this backdrop, we are raising fiscal Q4 revenue guidance. We expect Q4 software revenue of approximately $97 million and total revenue of approximately $202 million. 15:47 Now let's shift to expenses. We expect Q4 gross margins to be flat year-over-year or approximately 85%. We expect total expenses, including cost of sales and operating expenses to be up approximately 6% year-over-year. Q4 expenses reflect a seasonal FICA tax reset, annual merit increases, and go-to-market investments. We anticipate that this will result in EBIT margins of approximately 20%. Our projected share count for Q4 is approximately 46.5 million shares. 16:24 With that, I'll now turn things back over to Sanjay for some closing remarks. Sanjay?
Sanjay Mirchandani: 16:28 Thank you, Brian. The past few years have been anything but normal. While the ongoing pandemic and the unpredictability in the supply chain continues to create uncertainty, we've adapted and delivered results. Yet, as data continues to grow in both quantity and importance, so too has the need to secure and protect that data. This is our sweet spot. Our message is resonating in the market and our products are making a difference for our customers. We are excited by the opportunity and confident in our path forward. 17:01 With that, I'll open the call up to Q&A. Operator?
Operator: 17:06 [Operator Instructions] [Technical Difficulty]
Jason Ader: 17:27 [Technical Difficulty] Are there situations where a salesperson is struggling to figure out what fits best or is it pretty -- are the lines of demarcation pretty clear in terms of use cases?
Sanjay Mirchandani: 17:40 I think it's very clear. We've got a very clear playbook. Metallic supports mostly different workloads, Office 365, endpoints, containers, cloud-native applications. And there's a little overlap on VMs because we want to give customers that flexibility. But I'd say to you that most of the workloads and most of the work we do with Metallic is incremental, complementary. 18:09 The power of AND, just bother on that question, the power of AND, our ability to give customers value on both our on-premise and through Metallic is increasing. Roughly, I think about over 40%, 41% of our bookings had more than one product. Okay. And that includes HyperScale, that includes Metallic, different products.
Jason Ader: 18:32 Got it. And then just a follow-up for Brian, kind of along those lines. Do you have a sense of, let's say, this fiscal '22, how much of a headwind to your growth has come from the shift to more ratable rev rec, so not just Metallic, but also kind of more activity with MSPs where you would have had kind of an upfront rev rec, but that shifted over to ratable?
Brian Carolan: 19:02 I think it's somewhat marginal at this point, Jason. As Sanjay said, it's really complimentary at this point. Anytime you're investing in a SaaS business, it's going to have a headwind in terms of the in-period recognizable revenue. But by and large, this has been very much of power of both succeeding together in the market and we're not seeing it as a huge headwind.
Jason Ader: 19:26 All right. Thank you very much. Good luck.
Operator: 19:32 Our next question comes from Aaron Rakers with Wells Fargo. Your line is open.
Aaron Rakers: 19:38 Yeah. Thanks for taking the questions and congrats on the quarter. A couple from me as well. I guess, the first question is, as we look at the setup in the quarter and obviously impacting what was the September quarter as well, you guys have discussed some supply chain challenges impacting some deal closures and just the ability to deploy at some of the customers. Where do we stand today? Has that lifted out of the narrative with the customers? Or is there still some conservatism going into the March quarter guidance based on those dynamics?
Sanjay Mirchandani: 20:14 Like we said last quarter, we sort of saw the supply chain headwind increasing over the course of our second quarter. So it wasn't -- it happened over time. And when we spoke in October we sort of said, we're going to land where we said we were going to land, because there were ongoing risks that we were trying to normalize for. 20:32 I think what we've done this quarter, Aaron, is we've really got ahead of it, we're managing it well, the team is executing, the products are working well because customers are using the power of AND, and in some cases using the cloud directly. So we're seeing -- I'm not saying we're out of it, but I'm saying we've -- at least in our pipeline management we've normalized for it.
Aaron Rakers: 20:51 Okay. Just couple other quick questions. On the Metallic business, I mean, I think it was $309 million that you disclosed on the subscription and SaaS ARR. It looks like, based on how we kind of think about the ramp of Metallic from a revenue standpoint, you saw very, very strong quarter. I think you actually introduced or commenced availability of Metallic in October in Asia-Pac. So I'm curious, is there any way for us to kind of think about the SaaS component of that subscription and SaaS ARR momentum that you're seeing? How do we think about that piece, because Metallic becomes a much more visible growth driver as we move forward?
Sanjay Mirchandani: 21:35 I mean, in all honesty, we're really pleased with the progress we're making with Metallic. The rev ramp is, I call it, hyper-growth. And that's how I think about it. There is a strong demand on SaaS from customers, enterprise grade SaaS, not necessarily in lieu of on-premise, but in most cases with on-premise. So the power of AND is very important. We are the only ones that do this. It's a big contributor. Like I think Brian and I both said, it's -- the subscription and SaaS ARR is a 45% growth year-on-year and 55% of the total. So it's handsome. 22:12 Now, we're not unwrapping the numbers just yet. And like I said earlier, we'll call out more specifics over time. Right now we're just focused on doing everything we can to grow this business as fast as we can.
Aaron Rakers: 22:27 Okay. And then the final quick question is, going back to the Analyst Day early part of 2021, you outlined kind of some growth expectations, both total revenue as well software and then also progression of EBIT, I believe, towards into that mid 20% range, correct me if I'm wrong, I think out for 2024 fiscal year. Brian, just curious, I mean, any thoughts, are you sticking by that at this point? Any thoughts relative to what was outlined a year ago?
Brian Carolan: 22:58 Hey, good morning, Aaron. Yeah, as you know that, back in January of 2021, that was a two-year perspective we gave and I think that -- we've proven that. We're tracking towards those targets, especially on revenue and software growth and in particular, ARR is ahead of those targets. We've also done a sizable amount of share repurchases that are well ahead of what we messaged. We're focused on balancing growth and profitability at the same time. 23:25 We said Rule of 32 in a couple of years, I think we're approaching now the Rule of 30. If you combine that just a couple of years ago, we were at a Rule of 9. So we've made substantial progress since then. And we're focused on that. The mix might change a little bit between growth and margin, but our direction absolutely does not change, we're driving towards that combination. And right now we believe ARR is a great metric to measure ourselves. We will continue to manage ARR growth while investing in the businesses, such as Metallic. And leave it at that.
Sanjay Mirchandani: 23:57 I just want to add one comment. Our core software business is healthy. It's growing, we're taking share. And that was the first bullet I sort of enumerated in my comments earlier. And that is allowing us to really fuel and grow Metallic. Okay. And so, as new workloads happen in the cloud, aboard in the cloud, moved to the cloud, we're all over it. And it's the combination that's causing customers to give us a serious look and to adopt us, because it's a no-compromise architecture. This is sort of a really important way to think about it. It's not where one is forking into the other. They are working together, complementary, power of AND to really deliver the value.
Aaron Rakers: 24:42 Thank you, guys.
Sanjay Mirchandani: 24:43 Welcome.
Operator: 24:47 Our next question comes from James Fish with Piper Sandler. Your line is open.
James Fish: 24:53 Hey, guys, thanks for the question. Great quarter. Kind of going off of Aaron's question there, because I think they are important. Brian, you made the comment there about the mix may be changing a little bit behind growth in margin, but you're driving towards that Rule 32 or so. I guess, why not invest for more growth at this point, especially on the Metallic side where you're just seeing tremendous success and kind of takedown margins for fiscal '23 and potentially the out years?
Brian Carolan: 25:24 Hey, good morning, James. Good to hear from you. Yeah, I mean, the good news is that, Metallic is experiencing hyper-growth. I mean, you're seeing that, the key driver of ARR, the market is moving in that direction, customers are demanding enterprise scale SaaS solutions. We believe we have the early-mover advantage. And really a differentiator for us is the power of both Commvault software and our SaaS offerings. 25:48 And I think it's well known that when you're dealing with SaaS margins, they are going to look a little different from software margins. We understand those dynamics. We're working hard to get to economies of scale and we'll call out more specifics in due course, but we're squarely focused on growing both top and bottom.
Sanjay Mirchandani: 26:07 I'll just jump in here. At no point have we compromised the growth of Metallic. I mean, Metallic has been something we've been sharing with you over the past like, I don't know, six, seven quarters. And it's a business we're very happy with. It's a business that we're investing in. It's a business that leans in very nicely with our core. Our sales force knows how to take both of them to market. Our partners love it. MSPs are adopting it. So we are investing in it. 26:36 And we've done a lot of investment. And just our Q4 guidance, for example, approximates about 20% of FY '22 EBIT margin, that's up 700 basis points from fiscal year '20. Okay. And that's up roughly 900 basis points since fiscal year '18. So we're delivering the results. We're growing ARR, which is a key metric for us. Okay. And we're delivering a healthy EBIT margin, so -- and growing it. And as Brian said, a couple of years ago and the Rule of X, we were at 9. Okay. So on all fronts, we are investing. We're making -- we are hopefully making the right choices, and most importantly, customers are embracing it.
James Fish: 27:24 It makes sense, guys. And maybe on the go-to-market aspect of it, I mean, great quarter on the top line. You might have spent some of the upside in SG&A and, Brian, you gave us some details there. But has there been a change in the incentives for the sales force to sell more subscriptions on Metallic? Or is it just a factor of investing behind the growth overall and adding more headcount?
Sanjay Mirchandani: 27:50 Without giving too much away, our results are commensurate with how we are prioritizing things for the field, whether it be compensation playbooks focused product. The good news is, when you've got something that the customers appreciate, it makes things better. So everything is aligned hopefully in that direction.
James Fish: 28:15 Thanks, guys.
Operator: 28:20 Our next question comes from Eric Martinuzzi with Lake Street. Your line is open.
Eric Martinuzzi: 28:25 Yeah. I wanted to delve into the buyback. I understand that you guys were pretty aggressive here, and actually exceeded the original outlook. At the Board level have we talked about kind of a reload or a new plan given that we've exceeded the one that we laid out a year ago?
Brian Carolan: 28:45 Yeah. Good morning, Eric. It's Brian here. Yeah, we laid that out in January of 2021. The commitment was $200 million, plus 75% of free cash flow starting in FY '22. And that's the plan we're executing against right now.
Eric Martinuzzi: 29:04 Okay. Maybe I'm not following here because --
Brian Carolan: 29:09 There is no change to that plan, Eric. There is no immediate change to that plan.
Eric Martinuzzi: 29:14 Okay. So, we should anticipate a smaller number in the current quarter?
Brian Carolan: 29:19 We will be opportunistic and we committed to 75% of free cash flow moving forward.
Eric Martinuzzi: 29:28 Okay. All right. And then, I had a question regarding the large deal pricing, specifically pricing on renewals. You guys now have -- you are into your second year of renewals on the installed base and I was wondering how that pricing discussions has been going?
Brian Carolan: 29:47 Well, I think we've been pleased with the performance that we've seen on our renewal business. And as we've been forecasting that, this is now a tailwind for us as a company. But I'd like to emphasize that it's not just about the renewal. It's very much of a complementary motion for us. Its land, adopt, expand and renew. All those things have to kind of work in conjunction with one another and we're often seeing that that's opening up more and more conversations. 30:14 In fact, we're seeing at the time of renewal it's the culmination of many discussions we've had with the customer, and we're seeing large deal sizes as a result. We just demonstrated that we had a record percentage of deals greater than $100,000 for the quarter that encompass 76% of our software revenue. That was up 24% year-over-year. The volume of those deals was up 20%. So one continues to feed the other. Again, it's a land, adopt, expand, and renew all in one motion.
Eric Martinuzzi: 30:47 Got it. Congrats on the quarter and the outlook.
Brian Carolan: 30:50 Thank you, Eric.
Operator: 30:55 This concludes the Q&A session. Thank you for participating in today's conference. You may now disconnect. Everyone have a great day.